Operator: Welcome ladies and gentlemen, and thank you for your patience. You've joined Xunlei's Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. At this time, all participants are in listen-only mode. Please be advised that today's conference is being recorded. I would now like to turn the call over to the host, Investor Relations Manager, Ms. Luhan Tang. Please go ahead.
Luhan Tang: Good morning everyone, and thank you for joining Xunlei's Q4 and fiscal year 2024 earnings conference call. With me today are Eric Zhou, CFO; and [Lee Li], Vice President of Finance. Our IR website has our earnings press release to supplement our prepared remarks during the call. Today's agenda includes a prepared opening remarks from Chairman and CEO, Mr. Jinbo Li on Q4 operational highlights. Followed by CFO, Eric Zhou, presentation of financial results details of Q4 and fiscal year 2024, and the revenue guidance for Q1, 2025, before we open up the floor to your questions in the Q&A session. Please note that this call is recorded and can be replayed on our IR website at ir.xunlei.com. Before we get started, I would like to take this opportunity to remind you that the discussion today will contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such statements are based on our management's current expectations under existing market conditions and are subject to risks and uncertainties that are difficult to predict, which may cause actual results to differ materially from those made in the forward-looking statements. Please refer to our SEC filings for a more detailed description of the risk factors that may affect our results. Xunlei assumes no obligation to update any forward-looking statements, except as required under applicable laws. On this call, we will be using both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to comparable GAAP measures can be found in our earnings press release. Please note that all numbers are in U.S. dollars unless otherwise stated. Now the following is prepared statements by Mr. Jinbo Li, Chairman and CEO of Xunlei Limited.
Jinbo Li: Good morning, and good evening, everyone. Thank you all for joining us today. We're pleased to close 2024, with overall solid fourth quarter operating results, and our revenue exceeded the upper end of our guidance range. 2024 was a year of resilience and strategic transformation, and a cornerstone of our success was the record breaking 6.38 million subscribers, for our subscription business in Q4. I believe it is a testament of our ecosystem driven strategy, and partnerships with the industry leading channel players in the mobile industry. These initiatives have not only expanded our user base, but also enhanced the value we deliver across platforms. However, the Q4, of last year was not without challenges. In particular, we encountered intensified computation, and pricing pressure in an evolving industry environment, for our cloud computing business, especially in the latter part of the year. After prudent assessment, the company booked a non-cash goodwill impairment expense, for the full amount of the goodwill on the balance sheet. I'd like to mention that, the goodwill impairment does not impact our cash position, operating cash flows or future operations of the company. Now I'd like to share with you, some insights about our operations in Q4, 2024. Our subscription business continues to demonstrate its pivotal role, as a core asset and growth driver of our company. In the fourth quarter, we generated $34.4 million in revenue, representing a 9% year-over-year increase and a 12% annual growth rate from 2023 to 2024. This sustained momentum, now spanning two consecutive years of double-digit annual growth, is underpinned by two fundamental strengths. First, our tightly integrated business ecosystem, has achieved remarkable success with 77 of total paying subscribers, opting for our premium subscription service, the highest level of membership we offer, which fosters user engagement across content consumption, accelerating tools and community features. Second, strategic alliance with leading mobile maker partners, has enabled us to reach over 1 million new users, who were previously beyond our coverage. In essence, we are not only acquiring users, but also collaborating with our partner to share community dynamics and technology, fostering mutual success. Looking forward, we will continue to integrate advanced smart features, to better meet users’ needs and expand our market presence, in pursuit for further growth. As I mentioned earlier, our performance was impacted by the notable decline in our computing - cloud computing revenue. In the fourth quarter of 2024, cloud computing revenue fell 25.6% year-over-year and 10.1% quarter-over-quarter, due to unfavorable industry conditions. After careful assessment, we decided to write-off the full amount of the goodwill asset, on the balance sheet. The cloud computing sector has been encountering challenges, such as heightened competition and pricing pressures, among other things. Moreover, macroeconomic factors, including industry development and changes in regulatory environment, have exacerbated these difficulties. These external pressures have made it challenging for the business, to sustain previous growth rates, and we're exploring various options, to mitigate its impact on our overall operations. Now let's move to our live-streaming and IVAS business. In Q4, we generated $27.2 million in revenue representing an 80.7% year-over-year increase. This growth reflects our strategic decision on exit, low margin and volatile domestic markets, towards the end of 2023, and pivot to emerging regions such as Southeast Asia and EMEA. The year-over-year rebound in the business validated our efforts to cope with these challenges. By leveraging our capabilities in product refinement, user engagement and monetization, we have achieved organic growth, in our overseas audio live-streaming business. We expect this positive trend to continue, and gain further attraction among users. To conclude, I'd like to say that 2025, will be pivotal year for Xunlei. We will continue to implement growth initiatives, as well as explore corporate restructuring moves to make the company more focused and dynamic. In January, we announced the acquisition of Hupu. Hupu brings with it a vibrant community and diverse content offerings that align seamlessly, with our existing portfolio. This strategic acquisition is expected to unlock significant cross platform synergies, enabling us to deliver more comprehensive and engaging experiences, to our users. Furthermore, I believe we were well positioned, to continue to make targeted R&D investments in emerging technologies, to strengthen our core competencies and explore new growth opportunities. We will harness our deep rooted technical expertise, to strategically integrate emerging technologies across our operations, product development and user engagement efforts, thereby creating sustainable value for our shareholders. With that, I'll now pass the call over to Eric. Eric will give a detailed review of our Q4 and fiscal year financial results, and provide revenue guidance for the first quarter of 2025.
Naijiang Zhou: Thank you, Luhan and thank you all again, for participating in Xunlei's conference call today, to discuss the financial results of the fourth quarter and fiscal year of 2024. In the fourth quarter, our total revenues were $84.3 million, representing an increase of 9.3% year-over-year. The increase in total revenues was mainly attributable, to the increase in our revenues from subscription, and live-streaming businesses. Revenues from subscriptions were $34.4 million, representing an increase of 9% year-over-year. The increase in subscription revenues, was mainly driven by the increase in the number of subscribers. The number of subscribers was 6.38 million as of December 31, 2024, compared with 5.99 million as of December 31, 2023. The average revenue per subscriber, for the fourth quarter was RMB36.6, compared with RMB36.5 in the same period of 2023. Revenues from cloud computing were $22.7 million, representing a decrease of 25.6% year-over-year. The decrease in cloud computing revenues, was mainly due to the reduced sales of cloud computing services, and hardware devices as a result of heightened competition, pricing pressure and evolving regulatory environment. Revenues from live-streaming and other IVAS were $27.2 million, representing an increase of 80.7% year-over-year. The increase of live-streaming and other IVAS revenues, was mainly due to the increase in the revenues from our overseas audio live-streaming business. Cost of revenues were $40.4 million, representing 47.9% of our total revenues, compared with $36.8 million or 47.7% of the total revenues in the same period of 2023. The increase in cost of revenues, was mainly attributable to the increase in revenue sharing costs, for a live-streaming business incurred during the quarter. Gross profit for the fourth quarter of 2024, was $43.6 million, representing an increase of 8.7% year-over-year. Gross profit margin was 51.7% in the fourth quarter, compared with 51.9% in the same period of 2023. The increase in gross profit, was mainly driven by the increased gross profit, from our subscription and overseas audio live-streaming businesses. Research and development expenses, for the fourth quarter were or $18.7 million, representing 22.2% of our total revenues, compared with $19.5 million or 25.3%, of our total revenues in the same period of 2023. Sales and marketing expenses, for the fourth quarter were $12.5 million, representing 14.8% of total revenues, compared with $9.3 million or 12.1% of our total revenues in the same period of 2023. The increase was primarily, due to the expansion of marketing campaign, and related expenses incurred for subscription, and overseas audio live-streaming business. G&A expenses for the fourth quarter, were $12.1 million, representing 14.4% of our total revenues, compared with $11.6 million or 15.1%, of our total revenues in the same period of 2023. An impairment of goodwill of $20.7 million, was identified and recorded in the fourth quarter of 2024, primarily due to a significant decline in the revenue of a cloud computing business in later 2024, and such trend was determined to have sustained impacts, and therefore reflected in the quantitative impairment tests on goodwill, [technical difficulty].
Operator: Ladies and gentlemen, please continue to stand by. Your conference will resume shortly. Thank you.
Naijiang Zhou: Hello, can you hear me?
Operator: Yes, we can hear you. Please continue.
Naijiang Zhou: Okay. Operating loss was $20.5 million, compared with operating loss of $0.7 million in the same period of 2023. The increase in operating loss, was primarily attributable to the non-cash impairment of goodwill. Net loss was $9.9 million, compared with net income of $3.7 million in the same period of 2023. The increase in net loss was primarily, due to the increase in operating loss as discussed above, partially offset by the decrease in income expenses, income tax expenses. Non-GAAP net income was $11.3 million in the fourth quarter of 2024, compared with $4.5 million in the same period of 2023. Diluted loss per ADS in the fourth quarter of 2024, was $0.16, compared with diluted earnings per ADS of $0.06, in the fourth quarter of 2023. Non-GAAP diluted earnings per ADS, was $0.18 in the fourth quarter, compared with non-GAAP diluted earnings of $0.07 in the same period of 2023. As of December 31, 2024, the company had cash, cash equivalents and short-term investments of $287.5 million, compared with $272 million as of September 30, 2024. The increase was mainly, due to the proceeds from bank borrowings, and the net cash inflow from operating activities, partially offset by spending on share buybacks, and payments for long-term investments. Now let's talk about the full year 2024, financial results. Total revenues were $324.4 million, representing a decrease of 11.1% on a year-over-year basis. The decrease in total revenues was mainly attributable to the decreased revenues, from our cloud computing and live-streaming, and other IVAS businesses. Revenues from subscription were $133.7 million, representing an increase of 12.0% on year-over-year basis. The increase was mainly due to the increased number of total subscribers, which was increased from 5.99 million as of December 31, 2023, to 6.38 million, as of December 31, 2024. Revenues from cloud computing were $104.6 million, representing a decrease of 15.3% on a year-over-year basis. The decrease was mainly attributable, to the reduced sales of cloud computing services, and hardware devices as a result of heightened competition, pricing pressure and evolving regulatory environment. Revenues from live-streaming and other IVAS were $86.1 million, representing a decrease of 29.5% on a year-over-year basis. The decrease in live-streaming and other IVAS, was mainly due to the downsizing of our domestic audio live-streaming operations, since June 2023. Cost of revenues were $155.6 million, representing 48% of our total revenues, compared with $200.6 million or 55% of the total revenues in 2023. The decrease in cost of revenues, was mainly due to the decreased demand for cloud computing services, and reduced revenue sharing cost, resulting from the downsizing of our domestic audio live-streaming business. Gross profit for the year was $167.6 million, representing an increase of 2.8% on a year-over-year basis. Gross profit margin was 51.7%, compared with 44.7% in the previous year. The increase in gross profit, was mainly driven by the increase in gross profit from our subscription business. The increase in gross profit margin, was mainly attributable to the impact from the downsizing of our domestic live-streaming business, which had a lower gross profit margin, and the increased portion of subscription revenues in the company's total revenues, which had a higher gross profit margin. Research and development expenses, for the year were $71.6 million, representing 22.1% of our total revenues, compared with $74.2 million, or 20.3% of our total revenues in the previous year. The decrease was primarily, due to the decreased labor costs and share-based compensation, as compared with the previous year. Sales and marketing expenses, for the year were $44.8 million, representing 13.8% of total revenues, compared with $43.5 million, or 11.9% of total revenues in the previous year. The increase was primarily driven, by the expansion of marketing campaign and the related expenses, incurred for subscription live-streaming business, and increased labor costs. G&A expenses for the year, were $45.8 million, representing 14.1% of our total revenues, compared with $46.9 million, or 12.8% of total revenues in the previous year. The decrease was primarily, due to the decrease in share-based compensation expenses during the year, partially offset by the increase in labor costs, as compared with the previous year. An impairment of goodwill of $20.7 million, was identified and recorded in the fourth quarter of 2024, primarily due to a significant decline in the revenue of cloud computing business in late 2024, and such trend was determined to have sustained impacts, and therefore reflect in the quantitative impairment tests on goodwill, performed at the end of 2024. Operating loss was $15.7 million in 2024, compared with operating loss of $1.6 million in the previous year. The increase in operating loss, was primarily attributed to the impairment of goodwill, partially offset by the increase in gross profit, from our subscription business, and the decrease in operating expenses during the year, as discussed above. Net income was $0.7 million in 2024, compared with net income of $14.3 million in the previous year. The decrease in net income, was primarily driven by the impairment of goodwill, partially offset by the decrease in income tax expenses during the year. Non-GAAP net income, was $23.9 million in 2024, the same as the previous year. Diluted earnings per ADS was $0.02, compared with diluted earnings per ADS of $0.22 in the previous year. Non-GAAP diluted earnings per ADS were $0.38, compared with non-GAAP diluted earnings per ADS, of $0.37 in the previous year. As of December 31, 2024, the company had cash, cash equivalents and short-term investments of $287.5 million, compared with $271.9 million as of December 31, 2023. The increase in cash, cash equivalents and was mainly attributable to the net cash inflow from operating activities, partially offset by the spending on share buybacks, expenditure on long-term investments, and payments for the construction of Xunlei headquarters. On share buybacks, during the year ended December 31, 2024, the company spent approximately $7.7 million, and repurchased about 4.17 million ADS. Let's turn to the guidance for the first quarter of 2025. For the first quarter of 2025, Xunlei estimates total revenues to be between $85 million and $89 million and the midpoint of range, represents a quarter-over-quarter increase of approximately 3.2%. This estimate represents management's preliminary view, as of the date of this press release, which is subject to change, and any changes could be material. Now we conclude prepared remarks, for the conference call. Operator, we are ready to take questions.
Operator: Thank you. [Operator Instructions] Thank you. We are now going to proceed with our first question. The questions come from the line of [Chanelle Gou] from Retail Investors. Please ask your question. Your line is opened.
Unidentified Analyst: The question is congrats on your recent capital market performance. The stock was doing well, and she would like to know what is the company's plan following this IPO and she wants to know, if the company wants to sell the shares
Jinbo Li: And it's a good question, but I'm afraid it might be too early to address the question now, because the company has not completed its IPO yet. In any case, we have high confidence in the company and expect the company will achieve great success in the future. Thank you for your question.
Unidentified Analyst: The question is recently the company acquired Hupu, and she'd like to know, what is the business model of Hupu, and what are its revenue and profit conditions?
Jinbo Li: Thanks for the question. Hupu is a [sports blog established] in 2004. It provides comprehensive coverage of sports related reports including the Premier League, and other top European leaguers, the UEFA Champions League, the Chinese Super League, NBA, CBA, F1 in FL, et cetera. The platform offers detailed event information, expert commentary and in depth analysis, making it the largest sports community in China. Currently, Hupu operates through its official website, hupu.com and the Hupu mobile application. Its main source of revenue comes from advertising. We expect the deal, to be immediately earnings accretive, after closing expect in the first half of this year. Because the deal has not been closed yet, we are unable to discuss Hupu's financial numbers for the time being. Thank you for your question.
Operator: [Operator Instructions] We have no further questions at this time. I would now like to hand back the call to you. Thank you.
Jinbo Li: Thank you, again for your time and participation. If you have any questions, please visit our website at ir.xunlei.com, or send e-mails to our Investors Relations. Have a good day. Operator, we conclude today's conference. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you and have a great day.